Operator: Good day, and welcome to the S&W Seed Company’s First Quarter Fiscal Year 2023 Financial Results. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Robert Blum with Lytham Partners. Please go ahead.
Robert Blum: All right. Thanks so much and thank you all for joining us today to discuss S&W Seed Company's first quarter and fiscal year 2023 financial results for the quarter ended September 30, 2022. With us on the call representing the Company today are Mark Wong, President and Chief Executive Officer; and Betsy Horton, Chief Financial Officer. At the conclusion of today's prepared remarks, we'll open the call for a question-and-answer session. Before we begin with prepared remarks, please note, that statements made by the management team of S&W Seed Company during the course of this conference call may contain forward-looking statements, within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. And such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Such forward-looking statements on this call include but are not limited to the advancement of S&W's business strategy, S&W's financial guidance for fiscal 2023 and S&W's expectations regarding its lender relationships and plan news of loan proceed. Listeners are cautioned as a statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events, or results to differ materially from those projected in the forward-looking statements, including the risks that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in the Company's 10-K for the fiscal year ended June 30, 2022 and other filings made by the Company with the Securities and Exchange Commission. In addition to supplement S&W's financial results reported and accordance with U.S. generally accounting principles or GAAP, S&W will be discussing adjusted EBITDA on this call. These non-GAAP financial measures are not meant to be considered in isolation or as a substitute for the comparable GAAP measure should be read in conjunction with S&W's consolidated financial statements prepared in accordance with GAAP as no standardized meaning prescribed by GAAP and has not prepared under any comprehensive set of accounting rules or principles. A description of these adjusted EBITDA and a reconciliations of historical adjusted EBITDA to net loss is included at the end of S&W's earnings released issued earlier today, which has been posted on the Investor Relations page of S&W's website. S&W has not reconciled its guidance for adjusted EBITDA for fiscal 2023 to net loss because the reconciling line items that impact net loss are uncertain or out of its control and cannot be reasonably predicted. The actual amount of these items during fiscal '23 will have a significant impact on net income or loss. Accordingly, reconciliation of this non-GAAP measure is not available without unreasonable efforts. An audio recording and webcast replay for today's conference call will also be made available online on the Company's investor relations page. With that said, let me turn the call over to Mark Wong, Chief Executive Officer for S&W Seed Company. Mark, please proceed.
Mark Wong: Thank you, Robert, and good morning to all of you on the call today. As we talked about during our year-end call in September, for fiscal year 2023, we're focused on commercial execution as we begin to leverage all the work that has been done over the past five years. Simply put, it's about driving towards and beyond profitability in the near-term. We are doing this by being intensely focused on the four key centers of value we have outlined previously including; number one, our sorghum technology operations led by Double Team and next generation non-GMO herbicide tolerant sorghum solution; number two, our international forage operations which primarily operate out of Australia, and provide products around the world; number three our U.S. forage operations; and number four, our specialty crops which include camelina for biofuel applications and stevia. I'll review the progress of each of these areas during my presentation. Q1 of 2023, at a high level, I am extremely pleased, we started the first quarter off on a very high note. Our first quarter revenue of 19.9 million was an increase of 28% compared to Q1 of a year ago. But as we discussed on our last call fiscal 2023 is not simply about revenue growth, but our efforts to drive margin expansion and improvements in adjusted EBITDA. Compared to Q1 of fiscal 2022, we achieved a 260 basis point improvement in gross profit margins and a $2.4 million improvement in adjusted EBITDA, up from negative 4.0 million to negative 1.6 million. Considering we had a 4.3 million increase in revenue, nearly 60% of our revenue growth dropped to the adjusted EBITDA line. One item, I want everyone also to remember that the first quarter is typically a heavy alfalfa quarter with very little of our high margin sorghum or Double Team sales occurring in this quarter. As we entered the back half of the year, we see potential for further significant gross margin and adjusted EBITDA improvements. Beyond sales execution and margin controls, we are executing on the cost control initiatives we discussed earlier this year. SG&A and R&D each dropped by $500,000 during the quarter or about a million dollars in total compared to Q1 fiscal 2022. Overall, we expect OpEx spend to be much lower than last year. So operationally versus Q1 last year, 28% gross revenue growth, 260 basis point improvement in gross profits, $1 million decrease in operating expenses, and a $2.4 million improvement in adjusted EBITDA. Needless to say, we are very pleased with our progress in the first quarter. So let me talk a little bit about the four key centers of value again, the first being our U.S. sorghum technology Double Team business. First, let me discuss what I believe to be Double Team's potential to revolutionize the sorghum market in the same way other weed control technologies have enhanced yields for crops such as corn, soybeans, and cotton. From a number standpoint, during the last year, we sold approximately $3 million of Double Team. But as we have stated one of the biggest hindering factors we have is availability of seed. On that front, we have materialized our seed production and have taken steps. We believe are appropriate to limit the risk, natural risks to farming that we can see such as freezes in excess fee. The date we have not seen quality concerns, and our ongoing production harvest remains on track to support our 12 million revenue target from dealt with Double Team sales. These expected sales translate to about 500,000 acres of Double Team being grown by farmers in 2023. Operationally, the first half of our fiscal years where we are booking preorders for the first quarter of the year, initial indications are very positive and with a third of our expected the crop already preordered. The positive experience and word of mouth across the industry is truly benefiting us this year. We talked about the same last quarter, but additionally, selling Double Team in S&W sorghum partners brands, we are also looking at a number of private label opportunities, which we believe can expand distribution. We currently have many more private label partners looking at packaging and selling Double Team. We expect that about a third of the 12 million of expected sales for 2023 will be to these private label customers. The ability to leverage key private label partners and utilize their expertise in distribution systems in other key geographies should be of huge benefit to us. Our private label partners will be important next year when we again expect Double Team sales to grow significantly in the American market and we are also beginning to formulate our Double Team strategy for South America, Asia and Africa. We remind everyone the season we are so excited about Double Team is significantly, excuse me, the reason we are excited about Double Team is the significantly enhanced margins for the product based on our outlook of $12 million of Double Team sales. In fiscal 2023, we expect about a 50% or 6 million to drop to the EBITDA line. In summary, at the moment, we feel we are well positioned to hit our outlook for sorghum this year. I want to give an update on a sorghum product technology we've discussed previously that plays in the forage space. The technology is what we have previously called dhurrin-free and we continue to believe that it is some real potential in the global forage markets. We are renaming it prussic free to reflect the fact that freight that the trade eliminates prussic acid in sorghum. Farmers are more familiar with prussic acid terminology and with the fact that this naturally occurring compound can under certain conditions occur in conventional sorghum, endangering grazing livestock. Prussic free trade will eliminate this risk and allow worry free use of sorghum, for sorghum regardless of growing conditions. We have introductory amounts of seed that we're growing this year and we will have enough parent seed to produce a lot more seeds for next year's crop year and expect to roll out in the U.S. to solid demand. Our second center of value international forage is also on a very positive upswing. The key drivers for improvement during the first quarter with alfalfa, particularly from international or international forage operations, not from sales in Australia. Remember, this is traditionally the quarter where about 75% of our sales or alfalfa. As I mentioned a moment ago, this isn't just about sales, but gross margins as well. Our alfalfa business has margins in excess of 22% for the quarter, the highest quarterly margin for alfalfa that we have achieved in several years. We believe that the strong commodity prices globally are underpinning continued strong growth in all agricultural inputs and that the alfalfa market is no exception. Alfalfa pricing is up 22% compared to a year ago, in the same period. On the flip side, our title can cost controls and inventory management that we have put in place, we are achieving the forecasted savings outlined earlier in the year, leading to the improvement in margins. Further, the international shipping challenges we encountered are as recently as a few months ago are starting to ease. Looking ahead, devastating floods though, in Eastern Australia, has severely impacted vast swaths of cropping land and expect and mixed -- excuse me, mixed farming enterprises. Once the water recedes, we believe there will be substantial remediation required including the planting of crops and pastures. This has led though to a slow start for our Australian domestic business, but we expect it should benefit from international forage operations later in the year. While one quarter does not make a year, recall that the high end of our original guidance calls for approximately 9 million in growth from international forage operations, while the low end had an assumption of flat revenues. While we believe our shipping issues have somewhat eased, we still faced risks of delay on future shipments in future quarters. However, with a 3.5 million first quarter increase in international forage sales, we believe we are starting the year off on the right foot. Commenting now in our third center of value, our U.S. forage business, it's pretty much steady state as it goes. We continue to encounter headwinds that have -- we have been discussing the past based on decreasing U.S. alfalfa acres. We have a nice pace of business within the segment though, and as our customers desire our germplasm base with an emphasis on high yield and forage quality, with resistance to diseases and stress. Operationally about 10 million to 11 million or so of annual revenue is what we continue to expect from the sector. However, beyond the germplasm base, the real assets here remain our breeding station and processing facilities in Nampa, Idaho, which we believe can be utilized for biofuel species such as camelina. And then on to our last center of value, which is the specialty crops and again the topic of biofuels. I don't have any real updates since our last report, but let me remind you of what we have discussed last quarter. It is our intent to partner with large energy companies for biofuel production leveraging our capabilities and production processing packaging of camelina. Due to our unique position as an integrated global seed company with specific expertise in breeding production, sales and distribution of small seeded specialty crops including camelina, which are highly desirable for biofuel production, we believe will be an ideal partner. As I mentioned, last quarter, we're planning about 300 acres of camelina this fall or seed harvest next year. And it remains our goal to enter the camelina market as a seed and technology provider with multiple industry transactions. And to provide a potential roadmap, we are optimistic that there is a mutual beneficial agreement to be had in the future. I look forward to hopefully being able to provide further updates on this in the next couple of quarters. Just an update on our wheat JV. We're targeting to finalize the deal in the second quarter of this fiscal year -- sorry the next couple of months, which would combine our wheat efforts in Australia with Trigall Genetics. As we've mentioned previously, it's a JV between Bioceres Crop Solutions and Florimond Desprez, a European wheat breeding company. We believe that the joint venture could significantly strengthen essence S&W's position in wheat, enabling us to benefit from the worldwide exposure to come find entity would provide. And further we would all allow us to focus our efforts internally on our key centers of value. A banking update for me, usually Betsy, normally would hit most of the banking updates, but I just wanted to point out a few high points since we've made a lot of progress in this area. I just wanted to highlight how pleased I am to have entered into a new, increased and extended credit facility with the National Australian Bank are up to $48 million Australian, which is an increase of $9 million Australian from our current facility. Further at the end of October, our largest shareholder MFP Partners increased their letter of credit from 9 million to 12 million, allowing us to increase our CIBC loan from $18 million to $21 million U.S. We believe these increased credit facilities reflect the support these groups have in our strategic plan going forward and we as we grow revenues and drive towards profitability. Before I turn it over to Betsy, just let me remind everyone of our outlook for fiscal 2023. On the high end of guidance, we're expecting 92 million in sales and a negative adjusted EBITDA of about $2 million. On the low end, it's 80 million in sales and a negative 7 million in and adjusted EBITDA. The low end of the guidance assumes only growth from Double Team and slat revenue through the rest of our operations. Among other things, the higher end assumes 3 million in growth from traditional sorghums and 9 million in growth from our international forage operations. Betsy will give you more detail and expand on this in her presentation. With the progress made during the first quarter, where international forges up 3.5 million we see a path to achieve, we believe something closer to the high end of the guidance. But as I said earlier, our quarter does not make a year. And we still have a lot of work ahead of us to achieve these results in the current fiscal year. And one additional item I'll point out is that we have made zero assumptions for any biofuel or stevia related agreements for fiscal year 2023 guidance which may prove the offer upside opportunity for the Company. So, it's a great start in the year for on all fronts. And let me now turn it over to Betsy to walk through the numbers in more detail. And then, we will be back and happy to answer if any questions. Betsy, I'll turn it over to you please.
Betsy Horton: Thanks so much, Mark, and thanks to everyone for joining us on the call this morning. Let's start on the revenue line. Revenue was 19.9 million for the quarter, an increase of 27.9%, compared to 15.5 million in the prior year's first quarter. The increase is primarily attributed to a 3.5 million increase in our international forage operations, which was driven by strong international alfalfa results and offset by a reduction of almost a million dollars in our Australia domestic business due to those wet weather conditions that Mark mentioned. We also had a $1 million increase in revenue across sorghum and alfalfa in North America. We did see a shift in revenue from the fourth quarter of fiscal 2022 to this quarter, which we talked about during our year-end call. Please remember that we also had a shift from fourth quarter of FY '21 into last year's first quarter, which essentially cancels out when comparing year-over-year. Another way to look at it is that two years ago, core revenue in Q1 fiscal 2021 was just $9 million. So excluding the shift, we still achieved significant growth on a more normalized basis this quarter. Mark hit on the revenue guidance. But to reiterate what we discussed last quarter our FY '23 revenue guidance is currently in the range of $80 million to $92 million. As we look to bridge 71 million in fiscal 2022 to 80 million to 92 million in 2023, we are making the following growth assumptions. On the low-end of the guidance, we are simply taking into account $9 million and incremental revenue growth attributable to Double Team and flat revenue in the rest of our operations. At the higher end of the guidance, in addition to the $9 million of Double Team growth, we are assuming approximately 9 million and growth from international forage operations, with about half coming from pricing improvements and half coming from volume. And then about 3 million and assumed growth from our traditional non-GT related sorghum operations. As Mark stated given the 3.5 million growth in international forage during Q1, we're starting the year off strong. Now turning to margins. Gross margins were 22.7% in the first quarter of fiscal 2023, compared to 28.1% in the prior year's first quarter. The key driver to the 260 basis point improvement in gross margins was alfalfa, which was up over 1,000 basis points over the last year and accounted for nearly 75% of Q1 sales. Well, something I wouldn't normally highlight but given our recent history, I think it warrants mentioning is that we had inventory write downs of about $500,000. This is much more in line with what we would expect in a normal quarter compared to what we saw in Q4 of 2022. We may recall that we have been very focused on inventory management and really digging into our inventory valuation. We know that inventory management is so incredibly critical for our industry, and we are extremely focused on improving our lifecycle management, so we can avoid big write downs in the future. We therefore have established a reserve process whereby we match the timing of the reserve with the revenue generation period of the lifecycle of each hybrid. Having some inventory write downs is part of participating in the seed industry, however, through this reserve methodology and our lifecycle management efforts, we should avoid the large one time impacts that we have experienced in the past and instead seamounts more like we do this quarter. Now, we'll transition to operating expenses. Our GAAP operating expenses for Q1 2023 were 6.6 million compared to 7.6 million in the prior year's first quarter, a decrease of $1 million. Half of the expense reduction came from SG&A, with the other half coming from reductions in R&D. We do have some timing differences where we will catch up on the under spend later in the year, but we believe we are on track to achieve our goal of $5 million in annualized cost savings outlined last quarter. For the year, we believe operating expenses including stock base comp of about 2 million will be about 27 million, which is consistent with our earlier guidance. At the adjusted EBITDA line, we had a negative adjusted EBITDA of 1.6 million for the first quarter compared to negative adjusted EBITDA of 4 million in the prior year's first quarter an improvement of $2.4 million. As Mark pointed out this $2.4 million improvement to adjusted EBITDA was achieved on a $4.3 million increase in revenue. So with improvements in margin, nearly 60% of the revenue increase drops to the adjusted EBITDA line. Similar to what I did last quarter, let me bridge out how we look to achieve our adjusted EBITDA guidance in fiscal 2023. Let's start with the high end of our assumptions, which is 2 million adjusted EBITDA loss for the year. Starting at a negative adjusted EBITDA of $24 million for fiscal year '22, we assumed the following for fiscal year '23; first a $5 million improvement to our LCM or lower of cost or market charges; second $7 million in incremental gross profits due to DT and traditional sorghum revenue growth; third, a $5 million improvement in international forage gross profits due to both the higher end of our expected growth as well as overall improvements in our production costs. And fourth, a $5 million improvement from cuts to our operating expenses. All that gets us to an expected $2 million adjusted EBITDA a loss for fiscal year '23. For the low-end of our adjusted EBITDA guidance, I'll remind you what we did for the low end of the revenue guidance. We simply took into account incremental revenue growth attributable to Double Team and assumed flat revenue in the rest of our operations. On the low-end of our range for adjusted EBITDA, we did the same and assumed growth only in DT, which would be a $6 million adjusted EBITDA loss. We made some additional assumptions. Negative $2 million of the international forage benefit would be captured due to increase in margins. And between our lower of cost or market charges and OpEx combined, we would have a $9 million benefit versus 2022. This would end with an EBITDA loss on an adjusted basis of about $7 million. These are only assumptions and there are a tremendous number of variables, but we believe it is important for investors to understand the methodology behind the numbers we provided. Now, let's talk about our financing. So as Mark discussed in late October, we announced an extension and increase to certain of our credit facilities, with National Australia Bank or NAB to a combined maximum borrowing capacity of $49 million Australian dollars or approximately $31.8 million USD as of September 30, 2022. This is an increase of Australian $9 million, or approximately 5.8 million U.S. dollars compared to our prior facilities. The modified credit facilities include a seasonal credit facility, which is comprised of a borrowing baseline and an overdraft facility. We also have a flexible rate loan and the master asset finance facility with expiration dates ranging from September 2023 to May of 2026. We plan to use the increases in our credit facilities to support our growing international forage operations based out of Australia. We are grateful for the relationship we have had with NAB for more than 10 years and look forward to a mutually beneficial relationship for years to come. Additionally, as you might have seen from the 8-K we filed on November 1st, we've amended a couple of our other financing agreements. MFP our largest shareholder continued to show their support for S&W by issuing a $12 million standby letter of credit to backer CIBC facility. This was a $3 million increase from what was in place previously. The LC allowed us to increase our total revolving loan commitment with CIBC to $21 million, up from 18 million. We felt this was a relatively non-dilutive way to improve our balance sheet and we thoroughly appreciate the ongoing support from MFP. We continue to actively pursue long-term financing with replacement lender with an expectation that a non-bank lender is likely a better fit for us at this point in time and expect to close a new deal prior to the maturity of the CIBC facility at the end of the calendar year. We know there's a lot of work ahead of us, but we are extremely pleased with the progress made during the first quarter and the pathways we believe it provides us for a potentially strong fiscal 2023. With that, I will turn the call back over to Mark.
Mark Wong: Thank you, Betsy. Just in closing, we feel very good about the progress we've made so far in the first quarter. We remain focused on developing the four key centers of value we've outlined previously and continue to focus on. We have executed on the alignment of our cost structure to support these key centers of value. Further we are assessing potential value generating transactions intended to drive the business towards profitability. Our international forage operations had a very good quarter and initial indications on preorders a Double Team indicate that our assumptions for growth are reasonable. As always, we thank you for your continued support us of S&W and look forward to taking your questions. Operator?
Operator: Thank you. We will now begin question-and-answer session. [Operator Instructions] Our first question comes from Ben Klieve with Lake Street. Please go ahead.
Ben Klieve: Thank you for taking question and congratulations on a good quarter especially in the margins in the capital availability site. A couple of questions for me. First of all on the camelina initiative. Mark, I'm wondering if you can update us on expectations for planting. I assume going on as we speak here for camelina as a cover crop? So if you could update us on kind of acreage and locations of expected plantings, that'd be great.
Mark Wong: Thanks, Ben. Always appreciate your questions. Yes. So I've said we've got about 300 acres of seed camelina. So that would be the amount of camelina that then we produce seed that we sell to our farmer partners, and they grow the grain camelina which is pressed for oil. So that's a pretty big bite for just starting the program. But we think that the biodiesel market is going to be a huge opportunity. There's obviously a lot of other companies working in other crops and all around the world. And we believe we can participate in that early on. So we're pretty excited about that. We also believe that the Idaho location where our breeding station and production plant are ideal for producing camelina. Some of the companies that are also in the U.S. market are a little farther north than we are. We think that that adds some weather risk to the seed production and so we would prefer to frankly, produce it in a little better weather environment, even though it might be a little higher costs because the competing crops earn more for the farmer, so we have to pay a little bit more for our camelina. But as everyone on the call knows, the ag business, ag seed business is a long product line business. We've been doing this now, I've been CEO for five years, and now we finally hitting our stride to the genes that we've put into the market to these opportunities like camelina. And, we think that having stable seed supply is more important than a couple of pennies per pound and cost savings at least at the beginning of the cycle where demand is higher than capacity to produce the seed. So, we're really excited about what's happening on the camelina and the biodiesel side. It's pretty clear that in the U.S. market, there won't be enough oil seeds to satisfy the diesel market for many, many years to come, maybe never. And so, we think it's a tremendous opportunity to produce oils that have a much, much improved carbon footprint versus petroleum-based diesel. And at the same time not obviously affect the cost of food because its, camelina has grown as a second crop basically over the winter. So, we're pretty excited and we took a big bite putting 300 acres in the ground, and we'll be updating in the next couple of quarters as to status of the seed production and what the actual farmers were able to produce in whatever the winter weather is going to be here in the next three, four months.
Ben Klieve: Very good and I appreciate that won't take more of it on next spring. Coming over to sorghum, so Mark you've commented that you've got expectations a lot about a 30-year or the Double Team is going to be in the form of private label. Can you kind of talk about just kind of a different business model of private label versus selling direct to farmers and kind of the challenges around the private label process you're in the very early stages and kind of your expectations for that private label business over the next two to three years?
Mark Wong: Yes, great question, Ben. And it's good, as you point out to look forward into the future because our decision to, frankly, sell a little bit more of our available inventory through private label is one that's based really on the future. So I said that this spring planting, based on our sort of 55,000 bag kind of estimate of sorghum that we're going to sell, that it's a roughly 500,000 acre crop that's a sorghum based in the U.S. of 6 million acres, so that's a fairly significant piece. But we think that obviously, we have to sell that and we have to distribute it, and it has to get planted. But we think based on the demand, there's going to be a huge opportunity, again, to increase our sales in 2024 and maybe up to a million acres. So, we were in seed production in terms of the male and female lines that we need to produce our hybrids and stuff to have enough hybrid seed to in the 2024 spring planting so that's next year to basically be targeting close to a million acres. And that would be really significant, given the 6 million acres that's on the basis of 6 million acres of existing grain sorghum plantings in the U.S. that we think is the 2024 expected planting rates for farmers. So, one of the big opportunities for us is to use the bigger customers who want private label to basically use their sales forces to continue to improve the penetration rates, market share rates that we get for Double Team grain sorghum. And so, one of the big reasons why we're putting more of our available seeds this year to private label is that we think in 2024, that's going to help us in improve and increase to a million acres, our penetration rates. So, that's really one of the reasons it's not just for 2023 sales, it's really looking forward to 2024 sales. And again, I can't say this enough times, the product development lifecycles are really long for ag. And so just -- we're always looking forward a couple of years, as your question pointed out, you can't just focus on the year that you're in, you have to focus a couple of years ahead. So that's the reason why we're very, very bullish on all of the interest in private label. We didn't have this interest last year, right, because the crop was --people were just assessing our gene and stuff we remember we sold about a sixth of the seed that we're going to sell in 2023 last year, and so people were just getting used to seeing Double Team sorghum. But the overwhelming response of the farmers to want to purchase it is really uplifting to all of our employees, especially the R&D guys who have been working on this for seven, eight years and our production guys who put the stuff in field and our sales team who's selling it today. So, we're looking forward to 2024. That's the real reason to put more of our available seed sales and inventory through private label rather than our own branded sorghum partners' brand.
Operator: [Operator Instructions] Our next question comes from Jonathon Fite with KMF Investments. Please go ahead.
Jonathon Fite: Just wanted to start high-level, if we go back to kind of your technology presentation from December of 2020, you all outlined kind of some growth areas that you're going to focus on, some areas that you had intended to divest, had put a flag in the ground as far as kind of where you thought you'd be in 2024, 2026. I know, it's way too early to be giving guidance for next year, but just directionally what's changed and what is still on track from your mind in relation to kind of where you thought you'd be two years ago?
Mark Wong: Yes. So, like, all things in business that has long product development timelines facts in the market do change your opinion. And I would say at this point, the percent of [Technical Difficulty] our proprietary are based on real. That percent is pretty good estimate. We think that that number three on spot, and we're excited because when we did that of technology growth three to five year plan, we didn't understand that during free slash now prussic acid opportunity we were going to have in forage sorghums. And so having two trades following each other is always a huge, huge benefit to the farmers and to the Company frankly because we're we are getting a reputation in the sorghum market as a technology leader. We have a lot of ongoing discussions with every single one of the other sorghum companies around the world that are fairly major in sorghum, grain sorghum and forages sorghum sales. And yes, we just are very optimistic that there is a technology plan that our R&D from biotech and from our standard plant breeding is going to yield us continued products in the future. On the downside, I'd say that our estimates of kind of our general sales growth, it's going to be a bit slower than in that plan. So, I think that the sales number is probably high in that plan, but the profitability is probably a pretty good estimate. We are -- we get the chance because we've been pretty busy. To redo that plan, when we're going to issue one, it's not totally clear to me, but hopefully by the end of this fiscal year, we'll have the time to put out all of our teams together around the world and assess both the interests of the other seed companies for license and our own direct sales. And we'll point out or technology three to five year technology plan, that'll give your question, a much more thorough answer than just sort of, but it's something we spend a lot of [Technical Difficulty] the new plan will be along the same line that I'm outlining. I think it will have lower total sales. It will have about the same amount of sales in technology based products and about the same earnings EBITDA that we outlined in the three to five year plan.
Jonathon Fite: That's interesting. I mean, that's a significant step up in cash flow over the next 18 to 24 months. So given that you also plan to burn a fair amount of cash this year, can you talk to, there's the balance sheet data as of 7th, or as of September 30th, I don't think comprehended some of the latest credit line adjustments and facility adjustments? Can you talk to if those adjustments give you enough working capital to kind of manage the cash burn this year, or asset sales or other items are really going to be needed to kind of bridge?
Mark Wong: I think that the -- obviously, we're working on increasing our as Ms. Betsy's pointed out, and as I pointed out in two phases, one with NAB in Australia and one [Technical Difficulty]. And so, we believe that we're going to have [indiscernible] to the books that were nationally and in our view MFP's been just incredibly supportive of our plan. And I think they understand that these things take a number of years. And now, we're in that part of the cycle where we've spent the money, the time, the effort, the sweat and the blood to create these opportunities, and now we need to be a profitable company. And to your point, Jonathan [indiscernible] in 2024, frankly, we don't have obviously detail. In '24, they would depend on how well we do with Double Team of 2023, but Double Team profit margins is what he knows who's on the call today. So large compared to forage margins, gross profit margin percentages that it's just what you need for working capital to get a huge boost in cash for the same exposure of sales. And those are the products that make the companies profitable and those are the kind of products that we've been managing towards and looking towards in the five years that I've been with the Company.
Jonathon Fite: Are there any other, I mean, I think you've talked about some additional partnerships for absolutely, you've talked about some camelina partnerships, but are there other non-core businesses that you would think are kind of ripe for some business development just to provide a cash infusion to bridge you over the next 18 months?
Mark Wong: We think that the opportunities that we have are so big, especially for a company our size, under 100 million in sales, that we are just absolutely focused on bringing those home. But we've -- as I said, we've sweat blood and tears on the ground to get to where we are, Double Team is going to be have another good year in 2024 with other companies want to do about licensing, but that could be the way that we add a huge amount of market share. Remember, the Monsanto's strategy was always to put the trades in your own seed bags, but also license and put trades to your competitors because the trades are so profitable, that it's better for you to get the market share penetration from your competitors, and it is to try to use the trades to generate market share only on your part. So, we've learned those lessons over the years. Remember, I sat on Monsanto's board for part of those times. It was a long process for the industry to figure that out. Some of the industry giants did not license their trades to other companies. And I think the conclusion of that effort was that the Monsanto strategy was the one that generated the highest amount of cash flow in the long run for the Company who owned the trades. So that's the philosophy that we're filed. We think that the oil company sort of market where you're going to grow vegetable oils that have a 50% better carbon footprints and petroleum based diesel that that is just a gigantic market. If you look at some of the studies, people are trying to use soybean oil right now, but by 2035, a market penetration is in the billions of dollars and it's relatively like 15% of the available diesel on market in the U.S., which is just a gigantic huge was used for large ships, but it's also used for trucking. And it's probably not going to be substituted by electric motors and stuff like that. Yes, for light trucks for delivery trucks, for vans, electric motors work, but for cross country, delivery of goods, you need diesel. So it's a huge opportunity and we're very close to signing a deal that we think is going to be advantageous to S&W. We've been working on it for over a year. These deals are difficult to do because they are so potentially big. And so, everybody's looking at what's my benefit going to be from signing this and you the right partner and we think we found the right partner and we think we're having a good relationship and finalizing a deal. So that will also allow us as we pointed out in our earnings discussion of this quarter to supply other diesel companies with vegetable oil, so it's an all encompassing deal not just focused on one company, but on the industry. So, we're very excited about it and it's frankly to your questions and everything we can do. And we're also working on [indiscernible] Ingredion deal. We're making progress on that that needs as everyone remembers a production plant to be established in West. There's some good reasons for that, i.e., the relationships between China and the U.S. are such that you can't depend on source of supply from China and all the leaf right now. And Ingredion is processing is coming from China. So they do want another source. But it's a pretty big capital investment and that's, I'm traveling today, everybody can. But we're excited that that's going to be a deal to get hopefully in the next month with Ingredion. One of the [Technical Difficulty] effectively do with the staff that we have. We've cut expenses, we've basically stopped all the projects that in my managements believe have lower potential markets and lower returns. So, we've fine tuned with a scalpel or focused on the biggest opportunities. And we think that's plenty to do for now. And that there will be plenty to do for all of our employees and management here in the next couple of years without looking at too many new opportunities.
Jonathon Fite: I just had one quick follow-up, in the bridge, the EBITDA bridge, given the upper end of your guidance of getting from negative 24 last year down to negative two. I think I heard 5 million and kind of LCM benefits, 5 million in gross profit on the forage market side, 5 million in cuts operating expenses and I didn't catch the 7 million what category was that tied to?
Betsy Horton: 6 million was due to DT and another 1 million from our traditional sorghum portfolio.
Jonathon Fite: 6 million from what was this?
Betsy Horton: Double Team.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mark Wong for any closing remarks.
Mark Wong: Well, thanks everyone today for getting on the call. Hopefully, it was very informative. Betsy, and I and the Board really do appreciate the support from the market. And we felt that's going to explanation of our potential in the short-term this year and in the next year or two in terms of sales and EBITDA now is hopefully beneficial for everyone understanding the real opportunities that S&W has got before it. We think that there's just going to be a huge explosive growth for the Company both in sales and profitability. And we really do appreciate all of those of you who follow the Company and our shareholders. So thank you very much and thank you for attending the call today. Bye-bye now.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.